Operator: Good morning. Welcome to Trisura Group Limited's Fourth Quarter 2025 Earnings Conference Call. On the call today are David Clare, Chief Executive Officer; and David Scotland, Chief Financial Officer. David Clare will begin by providing a business and strategic update, followed by David Scotland, who will discuss financial results for the period. Following formal comments, lines will be open for analyst questions. I'd like to remind participants that in today's comments, including in responding to questions and in discussing new initiatives related to financial and operating performance, forward-looking statements may be made, including forward-looking statements within the meaning of the applicable Canadian and U.S. securities law. These statements reflect predictions of future events and trends and do not relate to historic events. They are subject to known and unknown risks, and future events and results may differ materially from such statements. For further information on these risks and their potential impacts, please see Trisura's filings with the securities regulators. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]. Thank you. I'll now turn the call over to David Clare.
David Clare: Thank you, operator. Good morning, everyone, and welcome. 2026 marks 20 years since Trisura began operations. Over the past 2 decades, the company has experienced transformational growth while remaining committed to quality underwriting and a customer-focused culture. In 2025, we made significant progress towards our objective of becoming a leading North American specialty insurer as we delivered strong profitability, underpinned by an 85% combined ratio, expanded our footprint across North America and continue to shift our earnings mix towards Primary lines with attractive and durable margins. Consistent execution and compounding of book value per share, which grew 18%, reinforces the confidence we have in our strategy and ability to create value for our partners and shareholders. Primary lines, Surety, Warranty and Corporate Insurance remain the foundation of our business grow net insurance revenue 20% in 2025. Surety was a standout, growing premium of 36% with continued success in our U.S. expansion and strength in Canada. In the U.S., momentum with distribution partners and expanded licensing drove growth with Trisura ranking among the top 30 Surety writers by Q3. Early results highlight our team's strong relationships and disciplined underwriting, supporting the significant opportunity ahead. Warranty grew 17%, driven by deeper relationships with existing partners and improving auto purchasing activity. Corporate Insurance grew premium and delivered a strong 31% loss ratio in a balancing market demonstrating our focus on profitability and underwriting expertise despite shifting market conditions. Continued investment in U.S. Corporate Insurance follows the approach, proven out Surety, expanding in areas we know well and attracting experienced talent or relying on established infrastructure and best practices. While still in early stages, this platform is expected to contribute meaningfully to profitability and scale over time. U.S. programs grew 17% in the quarter and 4% for the year, with an 81% combined ratio, benefiting from a strongly performing portfolio, growth in MGAs, improving Reinsurance capacity in a widely licensed platform with admitted and E&S capabilities. Our scale, permanent capital and diversification increasingly positions Trisura as a preferred long-term partner for strong profitability-focused MGAs. Our investment portfolio performed well in 2025, interest and dividend income of approximately $83 million grew 18%, supported by profitable underwriting and active portfolio management. The portfolio remains conservatively positioned, ready to take advantage of market dislocation should attractive opportunities arise. While Trisura has scaled meaningfully over the past 5 years, we believe the opportunity ahead is significant. We remain committed to the pursuit of profitable growth, increasing the proportion of Primary lines and creating a complementary and diverse high-quality portfolio of programs and Fronting business. Above-average underwriting profitability, combined with enhanced investment income is expected to drive consistent increases in shareholders' equity. Expansion into the U.S. builds on 2 decades of disciplined underwriting experience. As these platforms mature, we expect them to equal or exceed the earnings contribution of the Canadian counterparts. The significance and profitability of our U.S. Surety premium in 2025 supports the attractiveness of our geographic expansion. Increased scale has enabled larger limit Surety bonding in Canada with strategic hires and a broader offering are driving broker engagement and producing a promising submission pipeline. MGA premium continues to grow as a proportion of the U.S. market and Trisura is well positioned to take advantage of this trend. The second half of 2025 demonstrated renewed momentum as Reinsurance capacity returned and we move beyond the impact of non-renewed partnerships. Inorganic growth has been an important part of Trisura's evolution, and we remain well positioned to pursue opportunities should they align with our risk appetite and return thresholds. Our strategic initiatives are well funded with capital at the highest level in our history and significant financial capacity, Trisura is increasingly self-funding. Progress through 2025 reinforces our long-term expectations of premium growth, operating return on equity and book value per share growth in excess of 15% and our confidence in outperforming our previously communicated $1 billion book value target. Our earnings are supported by a diversified mix of underwriting income, fee income and stable investment income. Through growth, we have expanded earnings while maintaining returns on equity in the high teens. We continue to expect stability and durability in our earnings profile. We remain committed to the principles that have guided Trisura to success and strategic focus on specialty insurance, supported by structural tailwinds, disciplined profitable underwriting, consistent support for our partners and a prudent approach to growth, risk appetite and Reinsurance structuring. Market volatility will create opportunities to win business and strengthen our reputation. With the strongest capital based in our history and a platform that continues to scale, we are optimistic for the years ahead. With that, I'd like to turn it over to David Scotland for a detailed review of financial results.
David Scotland: Thanks, David. I'll now provide to walk-through our financial results for the quarter. Operating earnings per share, which reflects core performance from the business, was $0.75 for the quarter. This drove a modest increase in full year operating EPS of $2.85 and contributed to operating return on equity of 17%, which exceeded our mid-teens target. Gross premiums written was $786 million for the quarter, a 10% increase year-over-year, reflecting continued disciplined growth across the portfolio. U.S. programs maintained its growth in the quarter, posting a 17% increase in gross premiums written and Surety grew strongly at 36% for the quarter, but we expect that pace to normalize going forward. Net insurance revenue, which approximate net premiums earned was $200 million for the quarter, reflecting growth of 11.8% over the prior year. Growth was driven by continued expansion in our Primary lines, which increased by 15%. The combined ratio for the group was 85% in the quarter, which was higher than the prior year. The loss ratio in the quarter was slightly larger as a result of a higher loss ratio at Trisura Specialty that was in the range of expectation and compared against a particularly low loss ratio in 2024. The expense ratio was higher as a result of higher contingent profit commissions at Trisura specialty as well as a more normalized expense ratio at U.S. programs. At 85% for the quarter and 84.9% for the full year, these combined ratios demonstrate our disciplined underwriting focus and are supportive of our mid-teens operating ROE objective. Underwriting income for the quarter was lower than the prior year as a result of a slightly higher combined ratio offset by growth in the business. Net investment income was $21.5 million, increased by 25% in the quarter as a result of an increase in the size of the investment portfolio, driven by new cash deployment. Our operating effective tax rate was 24.7% for the quarter, reflecting the composition of taxable income between Canada and the U.S. and consistent with previous quarters. Overall, operating net income was $36.5 million for the quarter, reflecting consistently profitable underwriting and growing net investment income. Nonoperating results in the quarter and year-to-date period reflected primarily net gains associated with unrealized gains on the investment portfolio. Exited lines had an immaterial impact to net income in the quarter. Strong earnings per share contributed to an 18% increase in book value for the year-to-date period, resulting in a book value per share of $19.42 at December 31, 2025. This was partly offset for the year-to-date period by FX movement associated with a weakening Canadian dollar against -- a weakening U.S. dollar against the Canadian currency. Book value has grown at an average rate of 26% for the last 5 years, ending the year with over $920 million. We are well on track to achieve our book value target of $1 billion by the end of 2027. Earlier this year, we drew down on our revolving credit facility to further capitalize our growing U.S. Surety balance sheet. This increased our debt-to-capital ratio to 12.7% at December 31, 2025, which was higher than December 31, 2024, but still well under our conservative leverage target of 25%. The company remains well capitalized, and we expect to have sufficient capital to meet our regulatory capital requirements and to continue to support our robust organic growth. As we enter 2026, our diversified specialty platform, disciplined underwriting approach and strong capital position provide a solid foundation for continued profitable growth. David, I'll now turn things back over to you.
David Clare: Thank you, David. Operator, we will now take questions.
Operator: [Operator Instructions]. And our first question comes from Doug Young with Desjardins Capital Markets.
Doug Young: Just want to get an update on a few items within the Surety business. So maybe I'll just kind of tick them off as we go. But I guess the first is you've been moving upmarket in Canada. I think you brought a group in about a year ago. Just -- and in Canada, are you seeing at all a pickup in quote activity.
David Clare: So Doug, on that Surety piece and the larger limit bonding initiative, we are seeing certainly towards the end of the year, some benefit of that, really manifesting at this stage and some increased submission activity. It's been encouraging. And I think we've started to see some of that activity translate into some early wins, but the best is yet to come in that practice.
Doug Young: Okay. And then expansion into the U.S. and -- sorry, I don't know if I got the number right. You said, I think you're now a top 30 Surety writer in the U.S. And so I think that's where, you can correct me if I'm wrong, but just maybe an update on how that expansion in the U.S. is going? And do you need to move more capital into the U.S. to support the growth?
David Clare: I think the expansion has been going well. This is now -- we're in 5 years into this project of building out a practice in the U.S. and breaching that top 30 has been a nice metric for us to achieve. There is still some infrastructure buildout that we're excited to achieve that will help us continue to build that. That's separate from the capital piece, Doug. So what we're doing right now is balancing the build-out of the platform, the offices or people with the licenses and the capital that will underpin this overall infrastructure. So I would expect as we continue to get some of these final licenses in the U.S., you'll likely see us in time drop a bit more capital down into that entity. It's worth noting that capital is capital that we have internally already earmarked for this expansion. So you shouldn't expect any material change in the approach.
Doug Young: Okay. And then just lastly, as we see in the Surety business, like how do we think about the loss ratio evolving with the mix shift as you're going upmarket as you grow in more in the U.S. is it around that 20%? Should that evolve higher or lower as we see this evolve?
David Clare: Yes. Depending on the mix, you could see this. I think usually, we think about this as 20% to 21% over the long term. You kind see this go 20% to 22%, but nothing material in terms of a change.
Doug Young: Okay. And then just a few other items. Just you mentioned a few items in the Warranty, but the Warranty has been a pretty good growing business. It's a very attractive business from what I can see. Just wanted to dig into what you're seeing that's driving the growth a little bit more granularity there. And now this business used to contribute, I think, the underwriting profit was in the high single digits. It's now in the low double digits. I mean, is there room for this to be like a 15%, 20% contributor to underwriting profit for Trisura just hoping to get some color.
David Clare: Yes. I think the Warranty business has been a great story for us, not only this year but for the last couple of years. The team has done a really good job leaning in with our partners. And our partners have done a great job at extending their businesses. So we should acknowledge the strength of that practice this year. I think there is still opportunity in the Warranty practice, we think next year, it's something that can continue to grow in that -- growing in that mid-teens level, and I think that would imply increasing contribution to underwriting income. Our position in the Warranty space is still relatively small. And so in Canada, I think there's room for us to keep finding both expansion opportunities with our existing partners and new partners to build the business. So it is an area we're excited about and focused on continuing to grow.
Doug Young: Okay. And that takes me to my next question. It's just you have capital to grow organically, you've got some debt capacity. Can you just refresh us on your interest from an acquisition perspective? Because Warranty is a very fragmented market. There has been some transactions there. Were us, like would you be interested in that market? What other markets would you be interested potentially inorganically growing? And are you seeing more conversations happen in this current market around potential deals?
David Clare: Yes. So the first thing I'd say, Doug, is our priority, as you've noted, is organic growth and we do have quite a bit of opportunities in that space. To the extent we find opportunities inorganically that align with our risk appetite and our focus, we very actively look at those. That would include things in the Warranty space. I think the U.S. is an interesting market for us if ever something was to appear that could be attractive to help us build that practice. But I do note organic growth is our first priority. And you've seen us in the past, execute on inorganic opportunities creatively. So things like book rollovers license acquisitions to add to the platform. I think as we get larger, the opportunities for us to staple on initiatives that scale the platform, we will always be looking at those.
Doug Young: And when you say in the U.S., you're talking Primary lines, I would assume?
David Clare: Yes. It's tough to find specialty lines businesses that are transactable and digestible for us. But if we found one in the Primary lines space, we would be very interested in it.
Doug Young: And then just lastly, you did release your reserve triangle. Maybe I'll just throw it open. Like what's the key message and there was positive developments and thoughts on how we should think about reserve developments as we're thinking through 2026?
David Clare: Yes. I think we've got a long history, especially in the Canadian entity that we can track on a reserving basis. I think we talked a lot last year about the expectations around our U.S. practice improving. So worth noting this year on a consolidated basis, there's favorable development of our reserves, which we think demonstrates a lot of the strength of the platform. That expectation is certainly our goal going forward on a consolidated basis, and we very much focus on our reserving practice and businesses that we think can achieve that.
Operator: Our next question comes from Jeff Fenwick with ATB Cormark Capital Markets.
Jeffrey Fenwick: Just -- I wanted to start my questions off with the subject of AI. I know it's topical for many firms these days. And Dave, I was just hoping maybe you could provide us a bit of color or context around maybe even more broadly on the technology front, how well you feel Trisura is positioned? Or are there areas here that you're thinking about investing into? And I know a number of your peer companies call this out as a strategic advantage. So maybe just some thoughts there you could offer up for us.
David Clare: Yes. I think if we take a step back, today, things are moving very, very quickly in this space. And I think it's incumbent on all companies, including insurance companies to be armed and prepared to navigate this. We certainly think that there are opportunities for the industry and for us to improve operations or consider opportunities to evaluate these technologies. I think we have to be pragmatic that we're in a regulated industry that's highly complex. And so the most immediate benefits we expect to see from these types of initiatives are around those operational efficiencies. Frequency lines likely are going to benefit first from this. And so you've likely heard some competitors talk a lot about this around underwriting in the frequency line space or operations in those more typical commoditized lines. That doesn't mean that companies like ours in the specialty space can't benefit from this, and we are very actively evaluating ways that we can look at this, although I wouldn't say that we would highlight anything just yet. That's moving the needle economically. So it's an exciting time. Jeff, it's a time when a lot of people are testing out a lot of new things in the industry, and we have a lot of appetite to participate in that process.
Jeffrey Fenwick: And then on a different topic here, just -- I know one of the priorities had been to expand Trisura's presence in the broker channel. Over the last couple of years, really, and I know you've called that out as a benefit for growth. What's the outlook there now? We're seeing obviously some continued consolidation in the space. Just wondering if that maybe creates more opportunities or challenges and where you stand in terms of building that broker network.
David Clare: Yes. On the second point, given our increased scale and size. The broker consolidation, we hope, is something we can navigate fairly calmly in some cases, it actually helps us as we consolidate business with brokers we've got bigger relationships with. So that's a nuance in the market that impacts sure probably differently today than it did 10 years ago. I think what you're likely referencing is the opportunity for us to increase wallet share with larger brokers. We tend to do a lot of business with some of the regional or specialized brokers. And I think we're starting to get some opportunity to transact more with some of those larger national broker groups. I will say there's still a lot of opportunity ahead there. So we've got a great set of broker partners and distribution partners in our current space. I think we're keen now as a North American player to expand those relationships on a broader geographic basis, and as we move up market in some of these lines start to build relationships with some of those larger brokerage houses on a more substantial basis.
Operator: Our next question comes from Tom MacKinnon with BMO Capital.
Tom MacKinnon: Question with respect to really outlook in terms of combined ratio and growth for like Surety and Corporate and Warranty, as well as some of the U.S. programs. You did say you expect Surety to normalize, certainly can't grow at the 36% rate going out. But if you can give us what you think would be a reasonable medium-term outlook for both top line growth as well as combined ratio in those 4 segments, Surety, Corporate, Warranty and U.S. programs, that would be great.
David Clare: Thanks, Tom. I think at a high level, if you think about Trisura specialty, which includes Surety Warranty, Corporate Insurance and Canadian Fronting. That group should be writing or should be growing at about a mid-teens level in the top line next year. There's going to be some that are a little faster, some that are a little slower than that. But overall, that group, we think comes out at about the mid-teens level. That combined ratio, we think, is anywhere between 86%, 87%. And so pretty consistent mid-teen or mid-80s combined mid-teens growth on that business for the next year. U.S. programs or target for next year or our expectation for next year is likely mid- to high single-digit growth in the top line. And I think that low 80s combined ratio is what you saw this year and that's what we would expect next year.
Tom MacKinnon: Okay. And anything with respect to net investment income as long as the premium growth keeps coming in, I mean, 25% growth year-over-year, it's at least in the fourth quarter, how should we be thinking about net investment income?
David Clare: Yes. A great proxy for net investment income, Tom, is if you take a look at the rate of growth in net premiums earned. This is a great way to see as a preview, the capital that's available to be shifted into the investment portfolio. So what you've seen this year is the majority of our growth proportionately has been in those lines with higher retention. So those lines of higher net premium earned growth are feeding into that investment portfolio. I would say for next year, that trend is of net premium earned gross feed into the investment portfolio. That's a great proxy for you to model the growth of that entity. We are working in this environment to make sure we're defending yields. So reinvestment yields in book yields are getting closer than they used to be, but we still think it's a good environment to be deploying.
Operator: Our next question comes from Bart Dziarski with RBC Capital Markets.
Bart Dziarski: David, I wanted to ask, in your shareholder letter, you talked about the investment portfolio being well positioned to take advantage of market dislocation. And we're definitely seeing a market dislocation now. And so I wanted to just unpack how you're planning to kind of take advantage of that.
David Clare: Yes. I think we've got a really interesting opportunity in the investment portfolio, Bart. We are historically, and I think going forward, expecting to be very conservatively positioned. This is a capital preservation and yield-focused portfolio. But as the market moves around, there's always opportunities to optimize that allocation or that positioning. So when we see opportunities or dislocations in the investment-grade market, it allows us to either high grade or optimize the yield on the portfolio by shifting around the margins of duration and credit. We've also got a historically low allocation to equities. And so again, if you normalize or consider any changes in equity allocations. Those types of environments make it very attractive to be considering it. And the positioning and posture that we have today gives us a lot of dry powder to capture these opportunities around the margin side. I do want to highlight, we don't think that the moves here will be dramatic. But given our positioning, our posture, our capital strength, the portfolio has been very, very strong in its performance, and it set us up on a really great platform to launch from into 2026.
Bart Dziarski: Great. And then follow-up would be, in your prepared remarks, you talked about strategic hires and a broader offering, I think that was regarding Surety, but let me know if I missed that. But just wanted to sort of dive into that, what are some of the initiatives on the ground in terms of these hires and broader offerings? And how could that impact the growth outlook?
David Clare: Yes. It actually -- I'm referring to a couple of things there, Bart. We do talk about bringing on some new talent as we move upmarket in a Surety practice, but we should also acknowledge we're building a de novo practice in a new market in U.S. Corporate Insurance and U.S. Surety. So there's a lot of hiring activity that goes on there and then plugs into our established infrastructure. So those types of capabilities, experience, relationships -- it's just nice to see treasure being able to attract the high-quality people that have been joining the entity over the last couple of quarters. That type of initiative, our ability to bring on those people is really going to inform the next 3, 5, 10 years of us building these practices. And these types of investments that we make today, we're really excited about seeing what they can do in the next few years.
Operator: Our next question comes from Tomer Levitin with Raymond James.
Tomer Levitin: I'm just filling in for Steve Boland at Raymond James here. But my first question is just on the admitted lines as a percentage of gross premium rating in the U.S. That seems to have gone up. And I was just wondering how the dynamics there. Was that an intentional push or just kind of a reaction to market dynamics at play. So just what's your outlook there?
David Clare: I wouldn't say this is intentional or reactionary, Tomer, I would say this is more a function of maturity of some existing admitted lines programs that we've been writing now for a few years. So admitted tends to take a bit longer to build up. But once it builds, it's a very sticky, sustainable business. And we've just seen over a number of years now with established partners, the proportion of admitted premium has just continued to grow. I would say our outlook is that, that remains pretty consistent over the next year. I think we have about 1/3 of our premium in the U.S. program space is admitted right now. We still see the majority of our submission activity in the E&S space. And given the opportunity, complexity and partners that we work with, I would assume that, that majority E&S submission activity continues to stand. But it's nice to see the admitted platform is something we invested in and build starting probably in 2019. So it's been a long build process. But the platform today is very widely licensed and able to provide solutions across both admitted and E&S markets, which gives us a great position in this market.
Tomer Levitin: Appreciate the color. And then just my last question here. we saw some softening in Canadian Fronting and you mentioned some softening in specific Corporate Insurance segments or lines of businesses. So just kind of what's the outlook there? Do you see that continuing or potentially improving in the back end of fiscal year '26?
David Clare: Yes. I would say we do continue to expect a competitive market in the Canadian funding space. I think that, that line will likely be on a premium basis, flat to down a few points next year. That being said, the top line there, we view as less relevant as a net underwriting income, and we've seen pretty consistent and sustained profitability out of that platform despite some moves up and down in the top line. Corporate Insurance, as you've noted, it's a balancing market. We've seen some softening in certain lines. I think we expect this next year, it continues to balance in certain lines. We expect some lines will be a bit more constructive this year. But overall, I think if that trend will continue. That doesn't mean that we don't think we can grow in the Corporate Insurance space, and we've been doing a lot of work with our distribution partners and with our team to originate opportunities as well as building out our U.S. Corporate Insurance function. So despite those prevailing markets, we do still think we've got a differentiated ability to grow that platform.
Operator: [Operator Instructions]. Our next question comes from Jaeme Gloyn with National Bank.
Jaeme Gloyn: First question on the U.S. programs business good to see a couple of quarters in a row here of high teens growth. Can you break down what's driving that growth? Is there the breakdown between new relationships between price increases, maybe it's all entirely existing relationships? So maybe talk through some of that.
David Clare: I would say the majority, Jaeme, is expansion or maturity of existing relationships. But what we did see differently in Q3 and Q4 is as a result of a support of a more constructive Reinsurance market. we did launch a few new programs that started to get traction into the latter half of the year. You are seeing some benefit of that in the premium growth figures that you've seen in Q3 and Q4. So the U.S. program space from a rate perspective, I would say the property space is gaining more capacity. So we've seen rates in both the Reinsurance space and marginally in the Primary space. decreasing a little bit. However, for us, the Reinsurance availability and the quality of partners there has been a real improvement over the last couple of years, which gives us confidence to lead into the space. Casualty is still fairly firm on the front lines in the Primary lines space. Casualty rates, I would still firm to rising. And I would say the Reinsurance terms, Reinsurance partners that we have are consistent in that space. So it's -- it's been a nice year. It's been a consistent year in that business. And what's interesting to watch is that the Reinsurance market continues to unlock. There may be more opportunities in that space.
Jaeme Gloyn: Yes. Great. Shifting to the Canadian front end. Obviously, another challenging quarter here. Can you give us a bit more detail in terms of how you're feeling for next year? Obviously, still down a little bit. I think you were saying. But what gives you that confidence that we -- the declines we've seen in 2025 are not repeated in 2026. Is there a levelly note? Is there -- a just comfort with the relationships you have? What gives you that confidence?
David Clare: Yes. I think we're always doing work, James, to figure out what the portfolio is doing. The declines that we saw through 2025 were not a surprise given the state of the market, but we do see, I think, some expectations for those more dramatic declines to level out next year. Part of that is just looking at the portfolio of partners that we have, part of that is looking at the lines of business and the markets that we're in. So it's a mix and it's partly an exercise that we do with our partners for what they expect to see in the market for the next year or so. So I would say, I think it's fair as you pointed out, to expect continued reductions in the top line. But I would say your comment that it was fairly weak, I would push back on underwriting income here is what we care about and the underwriting income sustainability or durability has been relatively stable here. And I think that's a factor or at least an item to make sure we're acknowledging is that as top line moves around, as long as we've got your visibility to continued contribution from an underwriting income perspective, it's a practice we continue to enjoy.
Jaeme Gloyn: So just to dig into that last point around the underwriting income. I think it's important as well, flat in 2025 versus '24, is that the view in 2026 that we should expect flat underwriting income, and that would be driven by lower combined ratios than perhaps what we've seen in the last couple of years. Is it like a cost savings? Is it a scale benefit? Like how would you sustain stable underwriting income in a lower gross premiums written environment?
David Clare: Yes. What we saw this year is a bit better loss ratio. So most of this is going to be a function of how the portfolio performs on a loss ratio perspective, which is what sustain the underwriting income this year. I think you're right to point out, listen, if premium declines, eventually, there's an impact on underwriting income. And that's a fair comment. And I think one that we acknowledge in the context of whatever loss ratio we achieved. So it's our expectation, certainly, if premium declines eventually underwriting income declines, depending on what you achieved from a loss ratio perspective. So there's lots of opportunities in the Fronting space. I mean we have partners being evaluated all the time. This is a space that tends to be chunky. And so what can happen is all of a sudden a partner can come on midyear and change the structure of the business. And it's tough to predict that at this stage, but it's an opportunity in a practice that can navigate market sometimes in a surprising way.
Jaeme Gloyn: Yes. Yes. Okay. And do you -- like in the U.S., we're seeing the Reinsurance capacity increase globally and that's helping to drive a bit of a return to growth in U.S. programs, like why or are you seeing similar dynamics in Canada? Or why is it different and you're not seeing that Reinsurance capacity flow?
David Clare: Yes. The drivers of U.S. programs in Canadian Fronting are a little bit different. So the markets here that we talked about in Canada in terms of competition and a bit of softness in the space. it's really a different driver than what we're talking about in the U.S. from a Reinsurance capacity perspective. So when we talk about the U.S. program space at MGA market being more supportive by the Reinsurance space. There's an ability here for these MGAs to continue growing or continue launching or bringing on new programs as Reinsurance appetite unlocks. So as capacity increases in the Reinsurance market, and people are looking for areas to grow or for partners to grow with. This space in our practice becomes very attractive for that group. The Canadian space, the Canadian Fronting space is a bit different. This is really a function of foreign partner interest and ability to grow in the Canadian market. And as that Canadian space has gotten more competitive more partners, more people have entered that space. And so the nuances of capacity exist in both markets, but the execution and the evolution of those markets can be a bit different.
Operator: Thank you. I would now like to turn the call back over to David Clare for any closing remarks.
David Clare: Thank you very much. I thank everyone for joining today. And as always, if you have any more questions, don't hesitate to reach out. We're looking forward to continuing to work with everyone in 2026. Thank you.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.